Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Constellation Brands Third Quarter Fiscal Year 2014 Earnings Conference Call. [Operator Instructions] Thank you. I will now turn the call over to Patty Yahn-Urlaub, Vice President of Investor Relations. Please go ahead.
Patty Yahn-Urlaub: Thank you, Laurie. Good morning, everyone. Happy New Year. Welcome to Constellation's Third Quarter Fiscal 2014 Conference Call. I'm here this morning with Rob Sands, our President and Chief Executive Officer; and Bob Ryder, our Chief Financial Officer. This call complements our news release which has also been furnished to the SEC. During this call, we may discuss financial information on a GAAP comparable, organic and constant-currency basis. However, discussions will generally focus on comparable financial results. Reconciliations between the most directly comparable GAAP measure and these and other non-GAAP financial measures are included in the news release or otherwise available on the company's website at www.cbrands.com. Please also be aware that we may make forward-looking statements during this call. While those statements represent our best estimates and expectations, actual results could differ materially from our estimates and expectations. For a detailed list of risk factors that may impact the company's estimates, please refer to the news release and Constellation's SEC filings. And now, I'd like to turn the call over to Rob.
Robert S. Sands: Thanks, Patty, and good morning and happy New Year to everyone. I hope everybody enjoyed the holidays and had an opportunity to drink some of our Constellation products this holiday season. Welcome to our discussion of Constellation's third quarter fiscal 2014 sales and earnings results. Before we get started with the review of the quarter, I believe it's worth noting that for a second consecutive year, Constellation stock was the best performer in the S&P 500 Consumer Staples universe, as well as one of the top performing stocks within the overall S&P 500 index, increasing almost 100% for calendar year 2013. We believe that the realization of significant benefits from the beer business acquisition, along with excellent execution within Crown's U.S. commercial business, are the key driver of this stock price appreciation. In addition, we have successfully completed the transition of our new brewery in Nava, Mexico. Beer operations are running smoothly, the supply chain is operating efficiently, and all key performance metrics are being achieved at the brewery. As you know, we are in the initial phase of the brewery expansion project which will include the buildout of the brewhouse, packaging, warehousing and site infrastructure. Although we are in the early stages of this process, I am pleased to report that all design work for the brewery and the packaging area has been completed, and we are currently finalizing warehouse expansion details. In addition, stainless steel is being fabricated for the beer tanks, and we have begun grading of the site in preparation for the building construction. From a commercial beer business perspective in the U.S., Crown had a phenomenal quarter, generating sales growth of 21% while continuing to gain market share. All 4 Mexican brands posted notable depletion growth during the quarter, with their 2 most significant brands, Modelo Especial increasing 18% and Corona Extra growing almost 6%. Depletions for the draft beer business increased more than 30%, and after repositioning Victoria in key markets and expanding into select new markets, this brand has regained momentum, posting depletion growth of greater than 20%. Overall, excellent sales and depletion results for Crown were driven by a number of factors, including continuing strong consumer demand for our outstanding portfolio of brands; an increase in third quarter shipments to replenish distributor inventory levels which were running below normal after this year's robust summer selling season; an easier comparison versus last year's third quarter due to the timing of shipments in the second quarter of fiscal 2013 in advance of price increases in select markets; and excellent execution by Crown wholesalers who now have the assurance that Constellation will be their long-term business partner since the closing of the beer deal. The renewed momentum we experienced during the summer selling season, particularly for the Corona brand, continued throughout the fall and into the holiday selling season. We believe this strong consumer demand was driven by the combined success of a number of marketing initiatives, including execution of the new TV advertising, including the Some Beaches campaign, Jon Gruden TV ads featured during Monday Night Football games, and new Spanish-language creative which was aired on TV during Mexican national team soccer matches and other key programs on Spanish-language networks. Corona also sponsored the Mayweather versus Canelo boxing fight, supported by TV advertising and limited edition 18-pack wrapped bottles which resulted in strong execution in Hispanic accounts. Corona Extra has now become the fifth-largest dollar-share brand in IRI channels, and continues to grow and gain share. The strong momentum of Modelo Especial also continued throughout the quarter. New SKU and innovation including Modelo Especial Chelada are driving consumer trade-up within the overall portfolio and bringing new customers into the franchise. New Spanish-language TV advertising was recently introduced to support the newly released Modelo Especial Chelada, which has significantly exceeded volume and distribution targets in its launch markets. Modelo Especial draft, Crown's second-largest draft brand after Pacifico, grew 30% -- 35% during the quarter. Overall, the strong results that Crown has achieved this year are the primary driver of the upward revision to Constellation's overall EPS guidance for fiscal 2014. As such, we are also revising our fiscal 2014 forecast for the Crown business and now expect beer depletions to increase mid single-digits, which will drive sales growth in the high single-digit range with operating profits expected to increase in the low- to mid-teen range. And now, I'd like to focus on the operational results for our wine and spirits business. As we noted earlier this year, the performance of our wine and spirits business would be skewed towards the second half of the year to align with peak -- the peak seasonality of the business as well as new product introductions. I'm very encouraged by the acceleration of depletion trends during the third quarter and the fact that on a year-to-date basis, we are outperforming the U.S. wine market on a volume basis across all channels. These results were driven by some of our key Focus Brands that continue to achieve noteworthy accomplishments, a few of which I will highlight. The 2011 Robert Mondavi Oakville Fumé Blanc was recently awarded a 95-point score in the Top 100 Wine for 2013 from Wine Enthusiast. The 2010 Robert Mondavi Cabernet Reserve received 95 points from Robert Parker of the Wine Advocate, who also liked the Franciscan 2010 Magnificat, which was awarded a 91-point score. Wine.com, the nation's #1 among retail, recently released its top 100 list based entirely on consumer preferences. Some of the great Constellation Brands that made the list include Robert Mondavi Napa Cabernet, Ruffino Modus, Kim Crawford Sauvignon Blanc and Franciscan Cabernet Sauvignon. Impact recently presented Blue Chip Awards for Estancia, Robert Mondavi Private Selection, SVEDKA, Ruffino and Kim Crawford. And Constellation received 37 medals across all brands submitted to the 2013 World Value Wine Challenge, the nation's most comprehensive competition of wines priced at less than $20. Gold medals, 90-plus point scores and best buy distinctions were awarded to Robert Mondavi Private Selection, as well as Rex Goliath. Overall, third quarter segment net sales for wine increased 3% driven by the U.S. wine portfolio, with depletion trends for the entire portfolio growing more than 4%. Third quarter spirits sales declined 5% and can be primarily attributed to an unfavorable comparison versus last year when we had the benefit of the bulk bourbon sales. However, we experienced improving spirits depletion trends in the third quarter, as some of our investments took hold for this business. As a matter of fact, from a consumer takeaway perspective across all channels during the third quarter, Constellation's overall spirit growth of more than 5% exceeded the category growth of about 1.5%. SVEDKA depletions grew in the high single-digit range during the third quarter, while gaining almost 2 points of volume share of the imported vodka category in IRI channels. We are currently preparing to introduce the next 2 new SVEDKA flavors, strawberry lemonade and mango pineapple, which are expected to launch during the first quarter. The new Black Velvet Cinnamon Rush, which launched early in the third quarter, is performing well and is one of our top-performing new SKUs from a distribution perspective. Since the closing of the beer deal, we have also begun to leverage our sales and marketing efforts across our beer, wine and spirits business. For instance, SVEDKA and Corona joined forces for a national, on-premise program showcasing the SVEDKA Coronation Cocktail. This delicious proprietary beer cocktail harnesses the popularity of these 2 key brands and leverages the joint on-premise efforts of our organization. Corona Extra and Woodbridge by Robert Mondavi, recently partnered with Butterball, in a major cross-portfolio program that leveraged the power of the 2 strongest brands in our portfolio. This fully integrated holiday promotion began in advance of Thanksgiving, reaching consumers through displays, point-of-sale materials and a unique Turkey Talk-Line, where consumers received recipes and pairing tests. Now despite this quarter's improving depletion results for wine and spirits, we will be unable to attain our original fiscal 2014 operating profit goal for this business due to the following factors: the positive mix trends that we anticipated earlier this year have not reached targeted levels as our premium-priced products are growing faster than our super and ultra premium-priced products; and we have invested more than originally anticipated in promotional activity as the key to $5 to $15 price point at retail remains competitive. While we are disappointed that the wine and spirits business will not achieve its expected profitability goals, the hard work and significant accomplishments we have made throughout the last few years have favorably positioned this business heading into next year. Overall, our wine and spirits strategy has been to focus on brand-building and maintaining market share to ensure that our business remains strong and healthy. Strong competition for some of our key brands has necessitated higher promotional spend to meet this objective. We expect this strategy to reap rewards in the future when market dynamics begin to enable lower levels of promotional activity or more favorable pricing environment, as our brands will be in a great position to capitalize on these trends. Meanwhile, our focus on new product development and innovation, as well as channel development and execution to continue to contribute to our future growth while we remain committed to brand-building in our core business, we believe these initiatives will drive enhanced mixed results while we also expect to begin to realize benefits from abating grape costs. Collectively, these actions are expected to drive EBIT growth of the wine and spirits business in the future. In closing, as a true triple threat in beer, wine and spirits, we have ushered in an exciting new era of growth and opportunity. We are progressing with the brewery expansion in Mexico while maintaining the strong momentum of Crown's U.S. commercial business. We have a great premium wine business and plans in place to work through the current set of challenges we are facing. I am especially gratified by the fact that Constellation was the best performing S&P 500 Consumer Staples stock in calendar 2013 for the consecutive year in a row. I would now like to turn the call over to Bob for a financial discussion of our third quarter results.
Robert P. Ryder: Thanks, Rob. Good morning, everyone. Our comparable basis diluted EPS for Q3 came in at $1.10. This represents a sizable increase versus Q3 last year as we continue to realize the tremendous accretion attributable to the beer business acquisition, which is significantly enhancing our sales, operating profit, operating margin and free cash flow. Our Q3 results also benefited from a lower-than-anticipated tax rate, driven by higher-than-expected foreign tax credits. The strong marketplace momentum we experienced over the summer for our beer business continued into the fall timeframe. Business helped to drive year-to-date financial performance ahead of our expectations and is the primary driver for the upward revision to our fiscal 2014 EPS guidance. Favorability in our tax rate and interest expense expectations are also contributing to our improved EPS guidance. The positive guidance factors that I just noted are being somewhat offset by our wine and spirits business. Our fiscal 2014 financial performance is expected to come in below our original expectations, as Rob just noted. We'll look closer at the guidance highlights just mentioned as we review Q3 performance in more detail. My comments will generally focus on comparable basis financial results. As you can see from our news release, consolidated net sales in Q3 included $662 million of incremental net sales related to the beer business acquisition as we consolidated 100% of beer sales for Q3. For Q3, beer segment net sales increased 21%, primarily due to volume growth as highlighted by Rob. These results are somewhat enhanced by an easier-than-normal sales comparison versus Q3 last year when net sales increased 1%. Depletions were strong at 10% growth for the quarter. Wine and spirits net sales on an organic constant-currency basis increased 3%. This reflects a 4% increase in branded wine and spirits shipment volume, partially offset by higher promotion expense and lower bulk spirits sales. For the quarter, consolidated gross profit increased $298 million. As you know, under the Crown joint venture structure, we recognize our share of Crown's earnings on the equity earnings line. Since the close of the beer transaction on June 7, 100% of Crown's results, along with the Mexican beer production profit stream, are consolidated by Constellation. Incremental gross profit from the consolidation of beer was $301 million in Q3. This produced a beer segment gross margin of 45% for the quarter based on the incremental beer sales discussed earlier. For the quarter, our consolidated gross margin was 42.4% versus 41% for the prior year quarter. The benefit from the consolidation of the beer business was partially offset by lower gross margin in wine and spirits, which resulted from increased product costs and higher promotional spending. SG&A for the quarter increased $96 million. The incremental SG&A associated with consolidating the beer business was $88 million. Essentially all of the SG&A for the beer business is related to Crown, as the brewery had very little costs classified as SG&A. Based on what I just outlined, operating income generated by the beer business was $213 million for the quarter. This produced a beer segment operating margin of approximately 32%. Since the close of the acquisition on June 7, the consolidation of the beer business results has produced a beer operating margin of approximately 30%. The inclusion of the beer business results was the primary driver behind the 350 basis-point improvement in our consolidated operating margin for the quarter. Due to the timing of the close of the beer acquisition, we did not recognize any equity earnings for Crown during the third quarter. For the prior year third quarter, equity earnings for Crown was $39 million. Equity earnings for the wine and spirits segment increased $4 million in Q3 of this year due to strong results for Opus One. Interest expense for the quarter was $90 million, up 46% versus last year. The increase reflects higher average borrowings as a result of the acquisition, partially offset by lower average interest rate. We now expect interest expense for the year to approximate $325 million, which puts us at the low end of our previous $325 million to $335 million guidance range. Timing of our cash flow generation and benefit from our lower cost securitization facilities helped drive this improvement. That provides a good spot to discuss our debt position. At the end of November, our total debt was $7.1 billion. This represents a $3.8 billion increase of our debt level at the end of fiscal '13. The increase primarily reflects the financing for the beer business acquisition, partially offset by some of our cash build in advance of the transaction and our free cash flow generation. During the third quarter, our debt balance decreased by $166 million. I would also like to note that the calculation of the post-closing purchase price adjustment payment for the beer transaction has been finalized, and we expect to make a payment of $558 million in the second quarter of fiscal 2015. In connection with this, the calendar 2012 EBITDA related to the acquired manufacturing and brand-owner profits came in a little above the $370 million we had originally estimated. Our Q3 comparable basis effective tax rate came in at 28%, which reflected benefits from integrating the beer business as well as higher-than-anticipated foreign tax credits. Given the additional foreign tax credits, we now expect the comparable basis effective tax rate to approximate 31% for fiscal 2014 versus our previous 32% guidance. Longer term, we continue to target a 32% effective tax rate as the brewery gets built out over the next 3 years. Now let's discuss free cash flow, which we define as net cash provided by operating activities less CapEx. For the first 9 months of fiscal '14, we generated $543 million of free cash flow versus $337 million for the same quarter last year -- the same period last year. The increase was primarily due to benefits from the beer business acquisition, partially offset by higher interest payments. We're pleased with the strong year-to-date free cash flow results, but we expect brewery capital expansion investments to significantly increase in the fourth quarter. We have updated our free cash flow guidance to reflect the improvement in our projected beer business results and now expect to generate free cash flow in the range of $525 million to $575 million. This puts us at the higher end of our previous guidance range. Now let's move to our full year fiscal 2014 P&L outlook. We're now forecasting comparable basis diluted EPS to be in the range of $3.10 to $3.20 a share, versus our previous guidance of $2.80 to $3.10 a share. Strong beer business performance is driving the upward revision to our fiscal 2014 guidance. For fiscal '14, Crown is now targeting net sales growth in the high single-digits, generally in line with what Crown has experienced on a year-to-date basis. We now expect underlying operating for Crown, which is before any beer manufacturing and brand-owner profit, to be in the low- to mid-teen range. Our brewery and brand-owner profits are also expected to exceed original expectations. Higher production volumes, favorable peso to dollar exchange rates and lower-than-anticipated SG&A build are driving this favorability. As mentioned earlier, wine and spirits performance has tracked below our original targets. We now expect wine and spirits organic revenue growth to be in the low to mid single-digit range. The decrease versus our original mid single-digit target is being primarily driven by higher-than-planned promotional spending and lower-than-expected sales mix benefits. These factors are also driving a reduction in our wine and spirits operating income expectations. We now expect wine and spirits operating income to be flat to down slightly from the fiscal 2014 results. This is versus our original low to mid single-digit growth projection. The EPS guidance improvement also includes tax rate and interest rate favorability that I highlighted earlier. Our comparable basis guidance excludes restructuring charges and unusual items, which are detailed on the last page of the press release. Before we take your questions, I would like to emphasize how pleased we are with the transformational beer business acquisition. Our results continue to demonstrate how this transaction enhances our financial profile, as it significantly increases sales, operating profit, operating margin and free cash flow. Our beer supply chain has been operating efficiently and Crown's execution and momentum in the marketplace has been outstanding, driving the upward revision in our EPS goal and positioning us well as we head towards the completion of a phenomenal year for Constellation. With that, we're happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Tim Ramey of Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Let's see, the wine business did underperform a bit, but you made some comments that are sort of were in line with my bigger-picture thinking, which is that promotional spending will go down and pricing will go up in relationship to the tighter overall supply. The '13 crop was big, but longer term, I think that that thesis is correct. Can you comment at all on that?
Robert S. Sands: Yes, I would say that we agree with that thesis. It depends, of course, what segments that you're talking about historically, or at least in the last 12 months. We have seen sort of the $5 to $15 segment be fairly competitive, which in our view, necessitated some additional investment in promo this year because our principal goal and strategy is really all about brand-building and making sure that we keep our portfolio healthy, precisely so that we can take advantage of the kind of trends that you were talking about. So we feel pretty good about that thesis, and layered on to our strategy is a pretty robust new product development process of initiatives also designed to continue to enhance our mix and our margins and ROIC as well. So we think that's sort of the combination of the expectation of an improving environment, combined with NPD intended to, as I said, drive mix and margins, is a pretty good formula for success in the future.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: And if I could just follow up, one on the beer side, I think you said Corona's depletions were like 6%. Would that be indicative of kind of the pre-innovation number in the beer business? Should we kind of be thinking that baseline business was up 5 or 6, and innovation drove it higher to the 10-ish level?
Robert S. Sands: Well, I wouldn't really call that baseline performance per se. We've been inclusive of the NPD. I mean, that is very, very strong performance. We probably say that for the longer term, it's fair to count on or to expect more like mid single-digit growth in total over the longer run. But clearly, we're significantly outperforming that due to very strong consumer takeaways. So it is a little hard to predict right now.
Operator: Your next question comes from the line of Alice Longley of Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: I have a little housekeeping question and then another one. In terms of your beer shipments, you had 4% price mix. I'm wondering if it's reasonable to think that at the level of shipping to the retailers, there was also 4% price mix on top of the 10% volume growth for beer? And then, can you take apart the 4%? How much of it was price and how much mix?
Robert P. Ryder: Yes, Alice, what I would say is there might have been some anomalies year-over-year in the quarter, but our price mix in beer is consistent with what we've been talking about all year, and that's probably right around 2%, is where we'll kind of end up at the end of the year, similar to last year's.
Alice Beebe Longley - The Buckingham Research Group Incorporated: Okay. That's helpful. And that was all price, right, because mix is maybe even a little negative?
Robert P. Ryder: It was mostly price, yes.
Alice Beebe Longley - The Buckingham Research Group Incorporated: Yes, and then my other question is a longer one. Your -- the only guidance you've given for where beer margins ultimately could go is, I think you said the low- to the mid-30s by fiscal '17. That's starting to look a little conservative. Can you comment on that? Where you think beer margins ultimately can go for you now that you know more about the business?
Robert P. Ryder: Yes, so again, this quarter, it was a fantastic quarter, so I'd be careful extrapolating that into the future. But we, right now, have no reason to change that beer operating or gross profit margin guidance. And remember, we're still new to the manufacturing of this, and as we build out the brewery and double the capacity, there's still some unknowns on what would happen. We were fortunate this year also that the peso-dollar exchange rate turned out to be much better than it was when we originally set guidance. So we're still sticking with that beer operating profit margin guidance. And as we learn more, because remember, a big piece of our finished goods is now produced by ourselves and we have less than perfect visibility into the cost structures of those when we take that over. So there's still a bit of grayness in there. So we're sticking with that guidance.
Operator: Your next question comes from the line of Bill Chappell of SunTrust.
Sarah Miller - SunTrust Robinson Humphrey, Inc., Research Division: This is Sarah Miller, on for Bill. One of our questions is on -- do you have any visibility into what your timing of marketing is going to be, I guess for the -- over the balance of the next year for the beer business?
Robert P. Ryder: Did you say -- well, I mean this year, I think we made a concerted effort to really take advantage of the peak summer sale seasons. And we kind of moved some of our marketing activities to that period of time. I think we're very happy with that result. So -- and actually at this time of year is when we're really kind of nailing down next year's plan, so it's not completely formulated yet. But I think we're pretty happy with this year's result, so there could be good probability that we replicate this year's timing of marketing spend.
Sarah Miller - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then second question on -- can you talk about kind of the status of the draft opportunity at this point? I know you mentioned that Modelo draft was up 35% in the quarter. Where is Corona Light, and kind of where are you seeing that success there?
Robert P. Ryder: Yes, so total -- we're very happy with our draft business. And in addition, as we get into new accounts with draft, we do see some evidence that helps our case sales as well. It's a very good marketing point to have those tap handles in front of the consumers as they are enjoying our products on-premise. But this year, total draft is growing about 30%, and actually, our largest draft product is Pacifico, but I think we're expecting great things from Corona Light draft, which we were in test market last year and we're rolling that out nationally as we go forward. So we probably expect Corona Light to be our biggest draft brand, followed by Pacifico, and then I think Modelo Especial is closely behind that. But we see great things for our draft business.
Sarah Miller - SunTrust Robinson Humphrey, Inc., Research Division: And Corona Light starts to rollout now or next month? Or...
Robert P. Ryder: It's rolling out as we speak.
Operator: Your next question comes from the line of Mark Swartzberg of Stifel, Nicolaus.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc., Research Division: Two questions. One on beer and then over on to wine and spirits. On the beer side, kind of following on the last question, can you give us a little more color on what in your opinion is really driving this improvement in the Corona trend, the acceleration there? And similarly, what's driving the accelerating trends for Especial?
Robert S. Sands: I think on -- there's a number of things going on here at a number of different levels. First of all, it's a little bit of success brings more success, especially with our wholesale customers who now I would say have the assurance that they're going to continue to retain these brands as they're going to be partnered with Constellation. As you can well imagine, the rest of the beer business, which constitutes very large portions of their business, is pretty lackluster and down. So -- and our wholesalers are really looking at our business as being the only material business that they have, which is really driving growth and profitability for them for the future. So I would say that they've really gotten behind it in a big way, which from a push perspective, is really driving the continued expansion of the brands at retail. And with the consumer, I'd say number two, our marketing of these brands has been very strong. Our investment behind these brands has been strong. And really, we're seeing sort of better brand health for these brands than we've ever seen in their history. And I think that that's translating to improved and better consumer takeaway. And something that I said in the past that I think differentiates us from a lot of the competition in beer is that we've had a very consistent message to the consumer about what these products stand for, year in and year out, that has resonated with the consumer. And I think that, as I said, that's a differentiating factor versus the competition, which has kind of been all over the place trying to find some hook with the consumer in a market that's been down overall. So look, the better beer market is the place to be. We're the largest player in the better beer market. The consumer is definitely also trading up in beer to more premium products, and we're reaping the rewards of all of these trends as well as our own good marketing and sales execution, and as well as having a very strong distribution network behind our brands in a way like they probably have never gotten behind any brands in the past.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc., Research Division: That's great. And if I could, on that topic, before we go over to wine and spirits, when you look at Especial specifically, can you speak to how the brand is doing when you factor out the ACV gains you're getting?
Robert S. Sands: Well, we think that -- look, we don't have those -- those numbers are very hard to really ascertain across the whole business. But to put it very simply, I believe we've got 2 things going for us, which is number one, gains in ACV which are driving growth in the brand, as well as gains in velocity per point of distribution. So put in simple terms, I think that we've got growing same-store sales as well as growing distribution. So you basically are hitting on all cylinders as far as that goes.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc., Research Division: Got it. Great. And then over on wine and spirits, this promotional need-more-money has been going on for a number of years. How are you thinking about the earnings algorithm for that business that you put out there back in June? Do you still feel good about that? Is it kind of a work in process? Can you speak to how you're thinking about that algorithm? I appreciate the comments on inputs coming down, but when you net it all together, how are you thinking about that?
Robert S. Sands: Yes, I'd say that we feel very good about the algorithm and we stick by it. I'd say that we're disappointed, we don't feel good about the fact that we're probably a bit behind in achieving the algorithm. But I think as a general proposition, we feel probably more confident than ever as we go into next year and the year after, that we will be able to grow the process in this business. So look, we've been making some calculated decisions to invest behind this business and focus on brand-building and brand health, so that the business stays fundamentally healthy. I think that as far as the wine business goes, we've got the best and healthiest wine business in the industry. I think fundamentally, the category is a great category, growing faster than almost any other consumer staple category, taking share from the other categories. We know that, that is offset to some degree by some negatives around fragmentation and lack of brand loyalty in the same sense that it exists in certain spirits segments and beer segments, but nevertheless, it's an extremely strong consumer segment that has backing of the retailers. We're the major player in premium wines. And I think that Tim Ramey expressed what we believe is going to be the trends for the future. So I think we're going to be able to translate our strong position in wine, not only into sales and market share growth, but into profit growth as well. So we feel good about it.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc., Research Division: So the final thing here and I appreciate -- I apologize, I'm taking so much time here, but a bit of a disconnect here with this year being flat to down slightly. Next year, you're basically saying you get back in terms of profit growth in wine and spirits. That's a function of inputs improving -- like if you had to put something at the top of the list, why are we supposed to think that that business, from a profit growth perspective, is going to get better?
Robert S. Sands: Yes, so I'll give you a few simple answers to that, which is this business continues to grow nicely, number one. We probably don't see the need for increasing promotional activity in the future and input costs, which were significantly higher this year, will not be significantly higher next year. So the conditions are pretty good for profit growth.
Operator: Your next question comes from the line of Robert Ottenstein of ISI Group.
Robert E. Ottenstein - ISI Group Inc., Research Division: Can you remind -- a couple of questions, can you remind us what percentage of your beer sales are draft right now?
Robert P. Ryder: It may be 2%.
Robert S. Sands: It's a very low 2% or 3%, whereas the industry overall is at 10%.
Robert P. Ryder: Yes.
Robert S. Sands: So it's pretty small.
Robert E. Ottenstein - ISI Group Inc., Research Division: Right. And what exactly -- I mean, there's a huge competition, right, for new taps for -- on the handles of -- with craft and everybody else. What is actually is your strategy in terms of -- what do you have to do to get people to change out?
Robert S. Sands: Well, I think the great thing is that historically, there's been very pent-up demand for taps from our portfolio because we've had no draft, and our on-premise retailers have been calling and begging and asking for draft for many years. We didn't have it historically because it was the strategy of the owner of the brand, Modelo, prior to our acquisition of them, to not have draft in the United States. We didn't think that, that was a great position and we disagreed with it, but fundamentally, we didn't have any choice there. So as soon as we gained control of the brand, we've introduced draft, I think it's turned out to be a very good choice and has been completely additive to the business as opposed to cannibalistic, especially given the brands that we focused on for draft. So we don't have any trouble getting draft handles in the on-premise. So it doesn't take much of a strategy, given that it's a called-for item in most cases as opposed to a push-on. Think about the craft business, okay? You're talking about tiny little brands that nobody's ever heard of outside of their city and, in most cases, so yes, that requires a strategy to get people to put taps in on brands that nobody's ever heard of in a crowded and fragmented category. In our particular case, you're talking about the largest import brands that haven't had draft and now have draft that have a lot of consumer acceptance, which in fact, is actually building and growing, and therefore, our retailers are calling and asking for the taps.
Robert E. Ottenstein - ISI Group Inc., Research Division: Now look, that makes a huge amount of sense. Is there any reason to think that draft can't get to 10% of your business over time?
Robert S. Sands: I would say that there's no reason to think that draft can't get to 10% of our business over time.
Robert P. Ryder: Yes, the only pause for that is the Corona Extra strategy, which is very unique in the beer marketplace because it's so well-developed and the bottle is so much of the brand equity. So we'll go slowly on that. But other than that, it's go for everything we can get.
Robert E. Ottenstein - ISI Group Inc., Research Division: Terrific. Moving to the wine business, is there -- can you give us a sense of how the innovations are being received in the marketplace? And how -- and whether it's given the tremendous proliferation of SKUs in all of the categories, beer, wine and spirits, is it more difficult today to get new products out on the shelves than it was a few years ago?
Robert S. Sands: Well, first of all, to the first part of your question, NPD is an interesting and tricky business and you don't expect to have 100% success, and NPD is sort of the nature of the animal. You have to have a good pipeline of it to get the occasional successes. And I'd say that true to that, we've got some really good successes. I think that if I was to say what I think is our #1 success right now, it's our brand, The Dreaming Tree, which is our joint venture with Dave Matthews, which we think is going to be a blockbuster brand in a very mix-accretive segment. We've got other NPD which I think is very solid, like our brand, Simply Naked, for instance in the super premium category. We've introduced some new products of late where we're seeing some very positive signs, a product called Besieged, which is a Sonoma product from our Ravenswood winery, which we actually saw a lot of success with. We've got a new product called SAVED, which we're very hopeful for. We've got an on-premise product called Hidden Crush. We introduced a new brand targeted towards millennials in the super premium category called Milestone, which we're seeing some early signs of success. So it's a little early to call. We've had some really good successes. I think, as I said, like Dreaming Tree is our #1 success. And then we've got a lot that we are in the process of developing at the current time and are -- I would say, have seen some early signs and are hopeful that we'll have some good successes in our pipeline.
Robert E. Ottenstein - ISI Group Inc., Research Division: And is it -- but is it more difficult now to get the shelf space than it was in the past?
Robert S. Sands: I think it depends who you are. So as a general proposition across the industry, I'd say yes, because of the amount, even though if you really kind of look at what percentage NPD constitutes of the business, it's been pretty stable in wine for quite a number of years now, at -- running at around 6%. So it seems like there's a lot of proliferation, but it's generally been the case for a long time. Now I think it's depends on who you are, I'd say for the leaders in the industry that have strong distribution relationships and even more importantly, strong key account relationships. The answer is, is that we can get distribution on our new products, and across the total beverage alcohol business, wine, beer and spirits in the United States, there's really only a few leaders in what we call category management. Only a couple. Okay, there's 2 or 3 companies, ourselves and a couple of our other competitors are the only companies that have world-class category management, which really means that we are the leaders in having the relationship of the key accounts that are going to matter for the future. And clearly, there's a shift going on in the business away from smaller liquor stores, mom-and-pop stores, consumers purchasing product at the large chains and mass merchandisers. And I'd say that as a consequence of a larger organization geared against that, years and years of developing those relationships, we enjoy very strong relationships with those key accounts. So we can get the distribution.
Robert E. Ottenstein - ISI Group Inc., Research Division: That's great, and just one follow up on that. I saw that your relationship, I guess with Republic, was just renewed recently, I think a couple of months ago. Any change in terms that we should be aware of in that relationship?
Robert S. Sands: No. Fundamentally, the terms of the renewal are very similar to the previous agreement. We think that it's a very favorable agreement, in fact, for both parties. And we expect to see continued great performance from RNDC as we have had over the previous contract. So that's a relationship and an agreement that's working very, very well for both the relationship and a mechanical perspective.
Operator: Your next question comes from the line of Caroline Levy of CLSA.
Caroline Levy: Just a question on distribution opportunity with retailers seeing the kind of takeaway from your brand versus others, are you expecting some big shelf set changes in '14 calendar? Because again, that -- you were talking about the draft opportunity, but what is the takeaway opportunity as well?
Robert S. Sands: Yes, I think we're looking at good growth in '14 across wine, beer and spirits. Our retail customers, are particularly pleased with our portfolio. I think that one of the interesting things about Constellation, which is an important differentiator is that we're the largest multi-category player in beverage alcohol or TBA as we call it, total beverage alcohol, which means that 2 of the large accounts, we're either the #1 or #2 supplier to them in dollar terms. And #1 is either us or ABI. And obviously, as it relates to our portfolio across wine, beer and spirits, we're providing the growth of being the #1 TBA supplier to the retailer. We're providing the growth, and TBA is probably the most important category in grocery and to the mass merchandisers today. It is not their #1 category, number one. Number two, of the major categories, it's the only growing category from both a dollar, top line and bottom line perspective, and it's providing much, much more profitability than any of the other major categories basically in grocery. And what are the other major categories, right? CSD [ph], cigarettes and dairy. So -- and TBA is #1, and we're either #1 or #2 with all the major players, right? Costco, SUPERVALU, Kroger, Safeway, so on and so forth. So -- and then, as I said, there's a shift that's just going on in general towards those kind of retailers for beverage alcohol. So, we're in a pretty good place.
Robert P. Ryder: The other thing I'd follow -- I'd say, a very good place, the other thing I'd follow up with here and I think you might have been hinting specifically at beer because one of our compelling beer stories to retailers is the well-known national brands that we provide that -- and retail shelves turn very fast. So we all see all this stuff written about SKU-getting [ph] in craft beer, right? And we're kind of used in this in wine, but there are a lot of SKUs. It does get a little confusing in the beer aisle these days, but we believe when we go to retailers, we have a very good story that, look, we have the distribution opportunity with our non-Corona Extra brands that we think will turn much better than almost all craft brands and deserve more shelf space. Indeed, we think Corona Extra deserves a lot more shelf space than it gets because it also turns much better than craft beers. It also grows like craft beers, right? Another reason to give it more space. And it has a higher ring and more profitability to the retailer like craft beers. So we think we're like -- to a retailer, we provide a lot of the benefits of craft beers, but we have much more scale and obviously, much more tenure in the industry to actually help them do some category management, that maybe the smaller, newer craft beers aren't as expert at yet. So I think that is really -- and we have fantastic sales execution and fantastic marketing plans behind those brands, so it's really kind of synchronistic to get this volume growth. The consumers want it, the retailers want it, the distributors want it, and, of course, we want it.
Caroline Levy: That makes sense. And then just looking at the brewery, you've owned it very briefly, but can you just fill us in on what you've discovered about running a brewery since you've owned it?
Robert P. Ryder: It's big. So I'll start -- here's what I'll say, is we -- and Rob said this earlier, that the employees we inherited at the brewery, we couldn't be happier with. They fit right into Constellation's culture. They are expert at their job and...
Robert S. Sands: Highly skilled.
Robert P. Ryder: And highly skilled. And really, it's been fantastically turnkey for us and we've been able to focus more our attention on the buildout, which they're also critical to. And the other good thing we inherited is the way Modelo ran the business was pretty decentralized. So we inherited a brewery with full functions. Human resource, finance, they operate very well as a team, and every -- they fit in so well with us because there's a lot of changes and a lot of complexity on assimilating this brewery and I couldn't give a higher grade than the grade we give them on assimilation, and as Rob said, real expertise in their jobs we're thrilled with. Hopefully, they're happy with us.
Caroline Levy: And in terms of risks of delays and stuff, which happens with any big project, generally, how would you handicap the risks of things not going exactly on time and on -- in terms of just not getting exactly where you thought you would be over the next 2 to 3 years?
Robert S. Sands: Right now, we anticipate completing the project on time, and we would handicap it as a low probability that we will not be able to finish the project on time.
Caroline Levy: Okay. And the spending being a little lower than maybe expected in the current quarter, last quarter, do you fully expect to catch up in the fourth quarter on that?
Robert S. Sands: Yes.
Robert P. Ryder: Yes, and spending will really ramp up. As Rob said, we're fabricating stainless steel, we're breaking ground, and the beehive will start being built because there's going to be a lot of activity around doubling the capacity of this brewery.
Caroline Levy: Okay. And then just moving to wine, and it's been a while since I looked at this in detail, but apparently, there is a lot of supply. And vats are full in Napa, in particular. Does that not mean there will be a lot of private label competition and so on? I mean, could margins be a little worse than you expect again as you go forward?
Robert S. Sands: I would say that the supply is balanced, is the way that I would describe it. I would say it's actually, over the last couple of years, depending on exactly where you're looking at, it sort of tips to slight undersupply. We've had a couple of decent harvests, which have, I'd say, tipped it to what I would call pretty much balanced. In the areas that matter to us, I would say that we're not expecting an oversupply that would drive lower pricing or higher promotion in the future. I think that we see a pretty balanced situation. And in fact, this is a general proposition, the way the wine business is growing overall and sort of given the level of plantings, especially, if we're talking about the United States. Things will continue to tip more towards undersupply.
Robert P. Ryder: I mean, that's a point -- I mean, the consumer demand for wine continues to be very robust and the mix shift also continues to be positive. So we actually need more supply just to satiate demand.
Caroline Levy: Okay. Great. And then just finally on the distributor renegotiations that are probably coming up with a number of wine and spirits distributors, do you largely expect similar terms to the ones you have, or is there room for some improvement for you there?
Robert S. Sands: I would say that we are hopeful. I think, first of all, I think we had great terms -- we have great terms to begin with, but I would be hopeful that there's room for improvement. Generally, that's going to be win-win for both parties. I mean, as we renegotiate these parties' contract, both parties look at the agreement to see what's working, what's not working, and adjustments are made to enhance the relationship for both parties. It's really the nature of it here, especially with wholesalers. It's not a one side can exact some kind of extreme favorable term out of the other side for no reason. But yes, we expect that there will be favorable enhancements to our agreements.
Operator: Your next question comes from the line of Carla Casella of JPMorgan.
Carla Casella - JP Morgan Chase & Co, Research Division: I have one quick balance sheet question here. The accounts payable were a little higher than expected for me, and I'm wondering if the terms are just different in the beer business than in the wine business? Or is there a timing issue going on there?
Robert P. Ryder: Yes, terms are different in beer and wine, mostly due to regulations. So the accounts receivable terms are lower in beer than they are in wine, which is good working capital outcome. Accounts payable, there's just a lot of stuff going on with us assimilating brewery, there's a lot of timing stuff going on there.
Carla Casella - JP Morgan Chase & Co, Research Division: Okay. And then your cash flow, your strong guidance for the year, does that imply you should just take every 2014 million -- I'm sorry, 2014 bond maturity with cash flow, or do you intend to refinance it?
Robert P. Ryder: Yes, we're still looking at that. But we'll -- in this environment, we're happy to see that go because I think it's at 8 3/8. Right now, the thinking is we won't have to refinance that. It'll just be financed from our revolver and securitization facilities which, of course, are at much lower coupons. That should be very positive arbitrage for us.
Operator: Your next question comes from the line of Karen Eltrich of Mitsubishi.
Karen Eltrich: As we look at the year ahead, what are your thoughts with regards to priority of free cash flow, and as you make your manufacturing expansions, what kind of capacity increases can we expect?
Robert P. Ryder: Well, I mean, our priorities in the medium term on free cash flow is to pay down debt, which we've been doing. As we said, our debt was about $165 million less in Q3. We paid some debt down. We want to get our leverage below 4x EBITDA, but as you referred to, we've got a lot of builds coming our way. We've got, I'll say, the final tranche on purchase price, which we referred to right nets [ph] -- just shy of $600 million, which we talked about. And then we've got the brewery buildout, which, of course, is pretty big money over 3 years and a decent amount of that is front-loaded. So -- but we think we have all the financing we need to pay those bills, and we still think we can get below 4x EBITDA leverage by fiscal '17. Because you see, the beer this year is generating more cash than we originally anticipated. So we'll take it and pay that debt down.
Karen Eltrich: Great. And then in terms of what kind of capacity expansion is -- are these builds going to produce for you?
Robert P. Ryder: Well, the brewery is doubling its capacity from 10 million hectoliters to 20 million hectoliters.
Operator: As of this time, there are no further questions. I will now return the call to Rob Sands for any closing remarks.
Robert S. Sands: Well, thanks for joining our call today, everyone. Needless to say, we're very excited about the fact that our newly consolidated beer business is performing extremely well and driving enhanced consolidated results for the year. We certainly believe that we are well positioned in both wine and spirits as we currently stand, and are confident that our accomplishments in these businesses will position us well for the future. And overall, we feel very good about a solid final quarter for our fiscal year. So thanks, again, for your participation.
Operator: Thank you for participating in the Constellation Brand's Third Quarter Fiscal Year 2014 Earnings Conference Call. You may now disconnect.